Operator: Good morning, ladies and gentlemen. Thank you for standing by. Welcome to the Kingsway Financial Services first quarter 2009 results conference call. At this time, all participants are in a listen-only mode. Following the presentation, we will conduct a question-and-answer session. Instructions will be provided at that time for you to queue up for questions. (Operator instructions) I would like to remind everyone that this conference call is being recorded on Friday, May 8th, 2009 at 8:30 am Eastern Time. I will now turn the conference over to Colin Simpson, President and Chief Executive Officer. Please go ahead, sir.
Colin Simpson: Good morning, everybody, and welcome. I’m joined on the call today by Serge Lavoie, President and CEO of our operating unit in Canada; Scott Woolney, President and CEO of Commercial Lines in the US; as well as Shelly Gobin, Senior Vice President and Chief Financial Officer, who will present Kingsway Financial 2009 first quarter results. I’ve asked Serge and Scott to say a few words about what we have done and what we intend to do to address the problems in two parts of our business that represent our greatest challenges at this point. These are Kingsway General in Canada, and the US Commercial Lines. Subsequent calls will focus more on the other parts of the business that are performing well. Such as our Jevco business in Quebec, and our personal lines business in the US led by Marc Romanz. My first action in the role of President and Chief Executive Officer has been to determine how we can accelerate the transformation work that I’ve been leading since February of this year. Our Q1 results clearly indicate we need to move faster to exit unprofitable lines of business, reduce organizational complexity and cost. We need to do this in a way that gives a solid base for rebuilding the company and restoring shareholder value. We’ve said this before, but two things are very different now. We have a new Board of Directors that is aligned on what needs to be done and unrelenting in their focus on execution. We have a smaller, more focused management team that is determined to hold ourselves accountable for meeting these expectations, executing with excellence, and also with speed. We will say more about this once Shelly has presented the Q1 results. Shelly?
Shelly Gobin: Thanks, Colin. The remarks that Colin and I will make in today’s – as well as, sorry. The remarks that Colin, Scott, and Serge will make in today’s discussion contains certain forward-looking information with respect to the company’s operating and financial plans and performance. These forward-looking statements are based on management’s current assumptions, beliefs, and expectations; and are subject to a number of risks, uncertainties, and other factors beyond the company’s ability to control or predict. We caution you that actual results or developments may differ materially from those contemplated by these forward-looking statements. Additional information on the material risk factors and assumptions that could cause actual results or developments to differ from expectations are contained in our first quarter press release and our Canadian and US Securities filings, including our 2008 annual report under the heading Risk Factors in the Management’s Discussion and Analysis section. Any forward-looking information presented in the context of today’s discussion represents the company’s views only as of today’s date. While subsequent events and developments may cause the company to change its views, the company does not undertake to update any forward-looking information, except to the extents required by applicable securities law. Certain non-GAAP financial measures may be discussed or referred to today. Please refer to our first quarter press release and other securities filings for a reconciliation of each of these non-GAAP measures to the most directly comparable GAAP measure. The first quarter loss of $58.3 million or $1.06 is comprised of the following, net realized losses totaling $19.6 million, of which $18.2 million was on the actual disposition of the equity’s portfolio during February in 2009; an underwriting loss at Lincoln General of $39 million, that included unfavorable reserve development of $21.5 million; other one-time costs, including severance and consultants totaling $2.9 million; and, a service tax evaluation allowance of $10.4 million, as losses continues to be reported in the US operations. Despite the poor results in the quarter, the capital ratios remain strong at all subsidiaries, excluding Lincoln General. In fact, the surplus over the minimum, excluding Lincoln General, is $206.6 million, compared with $219.6 million at December 31st, 2008. We continue to take actions to strengthen our capital levels through planned reductions in premiums written, and reductions to operating cost. The following are some other key components of our results. First premiums written decreased 40% to $259 million in the quarter, excluding Lincoln General, except for the Kingsway managed business, premiums declined 26% to $230.6 million. As previously announced, Kingsway’s objective is to remain in control of this business going forward. The Canadian operations premiums declined 33% in the quarter in US dollars, but declined a lesser 17% in Canadian dollars, to 77.7 million. Non-standard auto premiums decreased 26% to $134.5 million for the year. A significant portion of this decline is the result of the planned premium reduction at Southern United, but nonstandard auto premiums written declined at the majority of the companies due to economic conditions, reduction in policies enforced, and the impact of the transformation program. Non-standard automobile now represent 52% of the total premiums written in 2009, compared to 42% in 2008. Trucking premiums declined 69% to $22.9 million and represented just 9% of the consolidated total premiums, compared to 17% last year. As previously mentioned, it is anticipated that the line of business will continue declines as part of the premium reduction plan. Estimated net unfavorable reserve development was $30 million in the quarter, which impacted the first quarter earnings by $0.43 on an after tax basis. The internal cost to settle claims are considered unallocated loss adjustment expenses. Lincoln increased its provision for this ULAE on prior accident years, and as a result recorded $5.5 million of unfavorable reserve development. The write-off of an asset for recoveries is deductible from certain policies out of the one-time $4.9 million unfavorable reserve development to the Canadian operations. The artisan program at Lincoln General had a modest amount of favorable reserve development in the quarter of $1 million. Underwriting loss of $58.8 million was reported from continuing operations which resulted in a combined ratio of $120.7 million for the first quarter, with the unfavorable reserve development adding 10.6 percentage points to the combined ratio. Excluding Lincoln, except for the business we’ll manage on a going forward basis, the US operations’ combined ratio was 105% in the quarter, and the consolidated combined ratio was 109.9%. For the quarter, the company reported a net loss of $58.3 million, compared to a net loss of $34.4 million in Q1 last year. The diluted loss was $1.06 for the quarter, compared to $0.62 for the prior quarter of 2008. And that’s an income of $27 million in the quarter compared to $28.3 million in the fourth quarter of 2008, but was down 25% compared to the first quarter of 2008, reflecting decreased short term yields in the smallest securities portfolio, as a result of the repayment of the company’s debt and the disposition of York Fire in 2008. The fair value of the securities portfolio per share decreased 7% to $43.02 this quarter. At quarter end, the composition of the portfolio was 23% in government bonds and 77% in corporate bonds. Over 92% of our fixed income portfolio remains rated A or higher. There remains approximately $2.3 million of common share equities in the portfolio, which will be (inaudible) up during Q2. The senior debt to capital ratio increased to 35% compared to 31.9% at December 31st, based on the reduced capitalization of the consolidated entity. We have no debt maturing until mid-2012 and currently half sufficient cash on hand at the holding companies to meet all of our interest payment obligations under the debt agreement. The company is taking capital initiatives by authorizing us to repurchase debt of the company up to $40 million, subject to certain conditions. In conclusion, while we remain disappointed with the net loss that was reported, and Colin has mentioned, we’ve increased the pace of the restructuring efforts going forward to improve the financial strength and capital flexibility of the group going forward. I’ll now hand the presentation back to Colin.
Colin Simpson: Thank you, Shelly. It’s clear to me and our new Board of Directors that to make this business profitable, we must return to our roots, focus on our core competencies for non-standard automobile and commercial automobile, delivered to the retail channel. We will continue to raise business in other niche specialty lines which have historically been profitable, as long as it makes good business sense to do so. We have previously stated our intention to shed lines of business in distribution channels that are unprofitable or a distraction from our commitment to being the first choice specialty insurance provider in North America, delivering superior results for share holders. This vision has not changed. What has changed is that we’re speeding up execution of our plans to achieve this. And I have a smaller, operationally focused management team with clear accountability for executing well and delivering results. The new Kingsway leadership team is made up of individuals with a depth of experience in operating insurance companies at a grand level. We know the business, we know the market, and we a have a strong track record in getting things done. We are all committed to staying the course and delivering results. On April 3rd, we named Serge Lavoie to the post of President and CEO for a single Canadian business unit. Serge has led our profitable and our highly regarded Jevco business in Quebec for five years, and has over 20 years industry experience. We have assigned him a critical task of analyzing and quickly addressing legacy issues in Kingsway General. I'd like to ask Serge now to update you on our first actions taken this week on that front.
Serge Lavoie: Thanks, Colin, and good morning. As Colin said I assumed leadership at the Canadian operating unit just over a month ago. The first step I took in this new role was to analyze all the business being written by Kingsway General to assess where to focus going forward. As a result of that analysis, we announced yesterday our intent to exit the cross border trucking business, which is no longer viable given our current key [ph] invest ratings. We’ve informed brokers that we will stop accepting new business and cease renewing these policies with an effective date of July 1st. Unfortunately, it has been necessary to reduced the staffing level to bring our cost in line with volume of business we expect to write this year. Yesterday, we announced 46 position eliminations in Mississauga and Edmonton. This move allowed us to focus our energy and investment in Canada on our core non-standard auto and commercial products, and delve on the success of our Jevco business. Jevco is our Montreal-based subsidiary with a good profit record and market reputation. One of the decision we have made is to move the Kingsway general motorcycle book of business, which has historically not been as profitable as the Jevco motorcycle book, to Jevco We will be re-underwriting and re-pricing that business throughout the year and look forward to improved results. I intend to make improving customer broker service a top priority for Kingsway’s Canadian operating unit. We need to improve the execution and consistency of our claims processes. On the technology front we recently launched a portal that is getting positive reviews from the brokers who are already using it. We plan to continue to roll it out over the coming weeks at the same time we are investing and enhancing its functionality. The system automates much of our underwriting, allowing brokers to issue policies rapidly. Our goals are to make it easy for brokers to deal with us, provide an excellent customer experience, and increase efficiency for both brokers and Kingsway. Despite difficult market conditions, I see opportunities for Kingsway in Canada, and I am confident we will be able to return the Canadian operating income positively.
Colin Simpson: Thanks, Serge. I'm now going to turn things over to Scott Woolney, President and CEO of US Commercial Lines. Scott co-founded Avalon Risk Management as a wholly-owned subsidiary of Kingsway in 1998, and has 19 years of experience from both the company and agency side of the business. He brings the depth of expertise in marketing and distribution that he built in Avalon to the roll. In mid-2008 he took on the task of determining what needed to be addressed and addressed the problems in the Lincoln General. With the decisions now made to runoff most of Lincoln's business, we put Gary Orndorff in charge of managing that runoff so that Scott can devote his time and energy to building a profitable commercial lines business in the US. He'll now comment on the progress that has been made. Scott.
Scott Woolney: Thanks, Colin. And good morning, everyone. I welcome the challenge I've been given. Once we have runoff non-profitable lines of business, my mandate is to consolidate historically profitable lines into a smaller, focused business unit. I want to start by confirming that yesterday we submitted our formal runoff plan for Lincoln General to the Pennsylvania Department of Insurance. This plan includes the significant reduction in force during 2009, with continued downsizing on pace with the declining in Lincoln's claim volume into the future During 2009, headcount at Lincoln has been reduced from 462 to less than 200 by year-end. Other aggressive, but appropriate actions are been taken to ensure that Lincoln's cost structure is scaled to support its obligations, while operating within the clear guidelines in the company's action plan. The plan also includes an orderly transfer of profitable business controlled by Avalon Risk Management and North East Alliance Insurance Agency, formerly known as RPPIA, to our US commercial and personal lines business units respectively. In Q1 2009, Kingsway’s US Commercial Lines business, excluding Lincoln, generated $41 million of profitable written premium. This does not include additional profitable business managed by Avalon and written on Lincoln paper. Over the next 12 months, we'll be consolidating approximately $120 million in commercial lines premium into the commercial lines business unit. This go-forward business will be culled from a current book of approximately $379 million. By the end of Q2 2009, commercial business premiums including a relative, but small amount of profitable business being transferred from Lincoln, is expected to be running at a rate of $150 million to $175 million annually. We'll reach our target run rate in 2010 requiring less surplus to support our business with a higher return in capital. I've been impressed by the work of the talented group of people who've been driving change within the US businesses. The transformation pains have been making great progress in analyzing the profitability of each business line, identifying cost reduction opportunities, and determining how best to structure and consolidated in operation. We will now move quickly to implement on this recommendations.
Colin Simpson: Thanks, Scott. It'll take sometime for the decisions we had made in the past few months to be reflective in our financial results. But I'm confident that we're on the right track. We are delivering ahead of plan on our transformation work. We have made decisions on where to invest in information technology to improve efficiency and add value to those who do business with us. 2009 to date, we've reduced staffing levels by approximately 450 employees and delivered actual savings of $28.7 million. We've just completed the detailed claims review and confirmed that our targets in relation to claims leakage are achievable. Given all of this, we are confident we can increase our overall targets for savings to a run rate of $120 million by the end of 2010 from the previous $50 million [ph]. Early next week, we'll appoint the next layer of leadership of the consolidated personal and commercial and operating units in the US. The selection process included a disciplined assessment against the profile of the type of leadership skill we now that we need to implement change and build a successful company. We have not let the need for speed compromise the critical task of selecting the strongest possible team from the pool of great talents available across our subsidiaries. We created a road map to guide these leaders in the first important task, getting the right people in the right roles to deliver the business plan. It's unfortunate that this also means many good people will be leaving the company between now and the end of the year. These are very difficult decisions to make, but the entire leadership team is clear, that our cost base is still much too high for the volumes of business we expect to write this year, and that lowering it is essential. The leadership team is backed by our new Board of Directors, that is both supportive and demanding, aligned on the direction we're heading, and dedicated to restoring shareholder value, and are very clear in their expectations of me and the leadership team. They are looking for less talk, more action, and accountability and excellence through execution. We intend to deliver. Thank you for your continued interest in the transformation of the Kingsway Group and Shelly, Scott, Serge, and I will now be more than happy to answer any of your questions. I'll now hand the call back over to the Operator.
Operator: Thank you. Ladies and gentlemen we will now conduct the question-and-answer session. (Operator instructions) One moment please for our first question. And our first question comes from Doug Young of TD Newcrest. Please go ahead.
Doug Young – TD Newcrest: I have three questions. I guess one, I'm trying to understand why it's taking so long to deal with the Pennsylvania Insurance Commission because I thought this was something that was being addressed post – the last conference call. Two, the $120 million of annual run rate expense reductions, where is that – what is the starting point? What I’m trying to get at is what should we be expecting from an actual absolute expense level going forward once you've fully removed that $120 million? And three, in terms of the – your intent to buy back debt, I'm just curious how much capital capacity you think you have to buy back debt at currently?
Colin Simpson: Scott, you want to take the first question?
Scott Woolney: Sure. I think the straightforward answer Doug, is the plan itself is a very lengthy document which includes detailed budgeting and liquidity projections going out for 12 or 13 years. So we've had a very active dialogue with the Department since the last conference call and a lot of progress has been made. Yesterday was the date that the formal plan itself was submitted for their consideration. So it's been underway through out the last three months or so. It' s really just the case that the final plan was submitted in its formal context yesterday.
Colin Simpson: I'll take the second question. The $120 million savings on expenses, going back last year to our investor day, we made it clear that our objective was to get our expense levels at 30% or below. That is generally split into a general and administration expense target of about 12% with commissions sitting right about 18%. So our objective going forward, as we strengthen the business and continue to strengthen the business and focus on the excellence of execution, is to get in to 12% ratio by the end of next year.
Shelly Gobin: Hey, Doug. And then the final question was an insurance of the capacity. The Board has authorized up to $40 million. So that is effectively the capacity that we feel comfortable with. There are certain conditions that the capital committee will assess in deploying that, but that is the capacity.
Doug Young – TD Newcrest: So, you be comfortable cutting the check for $40 million today to buy back debt? Is that a way to read that?
Shelly Gobin: It's subject to certain conditions such as liquidity, so it may not be cutting a one-time check of $40 million. But that's the authorization that's been given to capital committee.
Doug Young – TD Newcrest: And just one follow-up, Scott. Just in terms of the process, what should we be looking for next with the discussion with the regulator? And what's the next date that we should be looking for in terms of news on this?
Scott Woolney: The next step would be their review and approval. There is not a defined period within which they have to respond. Because we had a very active dialogue with them, we're expecting a relatively quick turnaround. But obviously, I can't speak for their time frames and other priorities but – so the next step would be some clarification probably from the company in terms of any questions they might have. And then ultimately, once they have approved the plan, it's really a process of having Lincoln continue down an operational path that's consistent. I think it is important to note that Lincoln has not been waiting for the plan to be submitted or approved to begin taking the necessary actions in support of the plans. For example, since the last conference call, all of the external commercial MGAs have been terminated, the MGAs as well as most of the personal lines. So that action effectively eliminated or significantly reduced any way written premiums within Lincoln. It's a point in fact, most recently the annual written premiums – I'm sorry, monthly written premiums from Lincoln dropped to about $7 million. So that's a dramatic decrease obviously in the monthly written premiums prior to the decision to go into runoff. And as I have mentioned, there's also have been a dramatic reduction in force that's already been implemented. A number of other changes including consolidating operations into the York facility versus the other six locations that we were running for Lincoln throughout the country. So do you think they're happening? Because I don’t want to give the impression that we're on a holding pattern, but we do need to wait for the department’s ultimate approval to be able to confirm that the plan has been approved and will be implemented.
Doug Young – TD Newcrest: And apologies, I promise this is my last one. Worst case scenario, Scott? What happens if they come back and reject? What is the next step?
Scott Woolney: Well, our hope, candidly, is that if they have concerns there would be a discussion or a negotiation. The department does have a wide latitude in terms of how they can respond but by statue, Lincoln's RBC is still at a level where if the company remains above the mandatory action level, and that's kind of the worst case scenario from the statutory standpoint. But we feel we’ve submitted a very strong plan and we look forward to continuing a constructive dialogue with the department
Doug Young – TD Newcrest: Thank you.
Shelly Gobin: Thanks, Doug.
Operator: And our next question comes from Doug Mewhirter of RBC Capital Markets. Please go ahead.
Doug Mewhirter – RBC Capital Markets: Hi. Good morning.
Shelly Gobin: Good morning, Doug.
Doug Mewhirter – RBC Capital Markets: With regards to the debt buy back. Where in the seniority ladder would you anticipate buying back the debt? Would it be the tranche that would be the closest to maturity, or haven’t you even sort of crossed that path yet?
Shelly Gobin: At this point, it’s being assessed as part of the actions being taken by the capital committee. And we will proceed and update people as appropriately as we go through the process.
Doug Mewhirter – RBC Capital Markets: Okay. And also with regards to debt, it looks like your senior debt to capital ratios were – at least appear to be by my judgment, to be right on the covenant trigger. Have you been talking to any of the debtors about that?
Shelly Gobin: It's actually a new issuance covenant, Doug. So the level of the certified senior debt to cap does prohibit the company from issuing any new debt that would take – that would be in violation of the terms of the covenant. But there are no trigger points being at that level.
Doug Mewhirter – RBC Capital Markets: Okay. So it wouldn’t trigger early repayment turns?
Shelly Gobin: No, it would not.
Doug Mewhirter – RBC Capital Markets: Okay. Are there covenants that still exist that would trigger early repayments for covenant levels?
Shelly Gobin: No covenants, more events of default that are more contained within there – you didn’t say the interest or something. But they are all contained within the prospectus document.
Doug Mewhirter – RBC Capital Markets: Okay. And my second question is more an insurance question. Could you just explain technically the write off of asset deductible that was behind some of the Canadian reverse development? Just a little bit more on how that works or – I'm just a little confused as to the nature of that.
Shelly Gobin: Right. It was just a one time item. They had an asset set up, that it was effectively factored in to the IBNR levels that were established at the Canadian company. And so, effectively looking at the train goes – it just affected their level of IBNR that would be required. And so, effectively it was written off because it’s already been compensated for in the IBNR number as those recoveries in larger policies, the deductible are collected.
Doug Mewhirter – RBC Capital Markets: Okay. Thanks. That's all my questions.
Shelly Gobin: Okay.
Operator: Our next question comes from Michael Goldberg of Desjardins Securities. Please go ahead.
Michael Goldberg – Desjardins Securities: Thanks. Good morning. First I want to clarify, is it up to $40 million you'll spend to buy back debt? Or is it up to $40 million of debt at the value you carry it, that you would plan to buy back?
Shelly Gobin: If I would read it as up to spend – up to $40 million to spend.
Michael Goldberg – Desjardins Securities: Okay. And looking at the fair value of the various debt obligations that you have outstanding, is there any reason why you would favor – you'd be inclined to favor buying back the loans or senior debt that look like they are about $0.50 versus the sub-debt that's $0.23?
Shelly Gobin: I think the analysis that will be undertaken will look at really the cost benefits associated with each of the various tranches of debt that are outstanding and make that assessment based on obviously, a number of factors.
Michael Goldberg – Desjardins Securities: Could you give us some idea of what other factors besides the potential amount of debt that could be cancelled?
Shelly Gobin: It's really where – I think that's the assessment that's currently taking place by the capital committee working with management. And as soon as we’ve really made that assessment and begun to have an approach, I think that would be the point then that we be in a better position to update to people.
Michael Goldberg – Desjardins Securities: Okay. One other thing, since you view non-standard auto as a core business, can you explain why you're downsizing the non-standard auto in Southern United?
Colin Simpson: The non-standard automobile in Southern United has historically been unprofitable. And as we’ve clearly stated, that we are downsizing non-profitable lines. So that does not – it doesn’t necessarily mean, just because we are focusing on non-standard automobile as core, that we'll keep all those particular lines, and all those distribution channels, and all of the line of business written to a particular company. What we're doing is taking a very strong and hard look about our rating adequacy about the territories that we are trading, and making sure that we have a very stable base going forward, and that we will remain profitable in the future.
Michael Goldberg – Desjardins Securities: What does your analysis tell you about why the non-standard auto in SUFI has historically been unprofitable?
Colin Simpson: It’s a mix of different things, and the way that we’ve approached the rating, and the way we’ve approached certain territories. And we are pulling away from those territories in those particular methods of rating.
Michael Goldberg – Desjardins Securities: So if–
Colin Simpson: If you go back to the way this company has been run for many, many years, that it is run by legal entities, by CEOs which have pretty much given the authority to run their businesses as they see fit. So you get certain lines of business that may be more profitable than others. What we’re doing now is going into each individual company, taking a very hard look line by line as to where we’re making money, where we’re not making money, and making sure that we exit the business that is non-profitable.
Michael Goldberg: Okay. I’m not sure if it’s a public document, but can we get a copy of the runoff plans submitted to the Pennsylvania Department of Insurance?
Desjardins Securities: Okay. I’m not sure if it’s a public document, but can we get a copy of the runoff plans submitted to the Pennsylvania Department of Insurance?
Shelly Gobin: No Michael. It’s considered a confidential document.
Michael Goldberg: Okay. One other question that I’m curious about, why was the completion of the Board changes and management changes not made before your annual general meeting recently, instead of immediately after the meeting?
Desjardins Securities: Okay. One other question that I’m curious about, why was the completion of the Board changes and management changes not made before your annual general meeting recently, instead of immediately after the meeting?
Colin Simpson: That’s would be a decision for the Board. They would have to answer that, Michael.
Michael Goldberg: Okay. Is somebody from the Board there that could answer that?
Desjardins Securities: Okay. Is somebody from the Board there that could answer that?
Colin Simpson: No, they’re not. But we can make sure they are for the next quarterly call.
Michael Goldberg – Desjardins Securities: Thank you.
Shelly Gobin: Thanks, Michael.
Operator: Next question comes from John Reucassel of BMO Capital Markets. Please go ahead.
John Reucassel – BMO Capital Markets: Thank you. Just a couple of questions on the balance sheet and I apologize, I missed it. How much cash or securities or cash and securities is at the holding company level?
Shelly Gobin: There are two holding companies that’s disclosed in the condensed consolidating information at the back of the press release, John. And it’s roughly $26. And that is consistently the levels we had at year end as well. And our approach has in the past would be then to hold not a lot of cash up at the holding company.
John Reucassel – BMO Capital Markets: Are you upstreaming on some money from the subs to get $40 million for the debt repurchase?
Shelly Gobin: That is what the capital committee is assessing as part of the overall plan of action.
John Reucassel – BMO Capital Markets: Okay. How easy is it to upstream $75 million in excess capital in Barbados? Is that hard and how – is that our pre-tax number?
Shelly Gobin: There are many factors that are looked at in considering where capital is maintained and what levels are required to be maintained. We typically have received returns of capital and dividends from reinsurance captives.
John Reucassel – BMO Capital Markets: Sorry, Shelly. Is that a standard process or could this take some time if you needed the money?
Shelly Gobin: It depends on the circumstances. It clearly depends on their ratios as well. And there are authorities – approvals required. However it has not typically taken an extraordinary amount of time.
John Reucassel – BMO Capital Markets: Okay. There’s about $62 million of goodwill intangibles still on the balance sheet. How much of that is still related to any US acquisitions?
Shelly Gobin: There’s a new accounting standard that reclassifies some capital assets into intangibles. That’s why the number is now reported higher, John. There is no goodwill remaining within the US operations. That’s all looking at the fourth quarter. The only thing remaining is some intangibles, some with definite lines and some with indefinite lines.
John Reucassel – BMO Capital Markets: Okay. So nothing left? Nothing in accounting? Okay. Sorry just a couple of more – two last questions. Is there cost of fall provisions on all the debts? Meaning, is the default in one – there’s a capital structure default across all?
Shelly Gobin: I’d like to get back to – I know of a one cost default. But I think the easiest answer is just get back to you John, on that.
John Reucassel – BMO Capital Markets: Okay. That will be great. And then there’s about a $49 million of gross unrealized losses, looks like beyond the quarter. And $34 million of that relate to US corporate. Can you give us some sense – has that probably narrowed since the end of the quarter and what are the ratings or what type of – these traditional corporates single-lay and higher? What are these?
Shelly Gobin: Predominantly half – 92% (inaudible) to the 93% is an AR higher. Given the reinsurance arrangements, we need very high quality corporate to support the letters of credit and the 114 trust arrangements that are held between the reinsurance and the Donafeld [ph] Companies. But the first answer is yes, that unrealized loss has narrowed. March 31st was unfortunately not a good closing point for prices.
John Reucassel – BMO Capital Markets: Okay. But this is a lot of exposure to financials. Are we more traditional S&P 500 corporates that are non-financials’?
Shelly Gobin: It's easy to diversify a portfolio. Given the size of the portfolio, there are financials contained within it.
John Reucassel – BMO Capital Markets: Okay. Thank you.
Operator: And our next question comes from Walter Schenker from Titan Capital. Please go ahead.
Walter Schenker – Titan Capital: Thank you. I’m somewhat new the situation. Could you just sort of try and put a little bit more color on having had felt the need to have an $80 million cost cutting and now having the need to have a $120 million cost cutting program to get the company back to where you need it. I realized it’s somewhat looking to the future, which is difficult. How much conviction you have or we should have that $120 million will be enough?
Colin Simpson: Yes. Sure, no problem at all. Historically, the company runs a very separate, individual business units. And when you look at our financial profitability on a go forward basis, then there’s obviously areas of our business that we have to address. When we originally came out with the $18 million announcement, it was on the basis of the company being a certain size. But as we’ve gotten into more detailed analysis, by line of business as we have just discussed, of the business, then we have clearly made decisions to shrink the business further. On that basis, we need to dig deeper in the expense (inaudible). $120 million is very achievable and it may have to go beyond that, depending where we go on the business. In this day we have to remain flexible. We have to make sure that we have a cost base that this organization can afford in the future.
Walter Schenker – Titan Capital: Okay. Thank you.
Operator: Our next question comes from Tom MacKinnon of Scotia Capital. Please go ahead.
Tom MacKinnon – Scotia Capital: Yes. Thanks very much. Good morning, everyone. My first question has to do with the excess capital actually going up quarter-over-quarter despite the loss and despite the increase in real life loses as well. Now is it just because there’s been a significant reduction in premium? Is that what’s causing this?
Shelly Gobin: Yes. The RBC ratios are impacted by the premium number. We also divested of the equities portfolio, which improved the MCTs in Canada. And the premium, particularly within the Barbados subsidiary, has come down significantly as Lincoln’s premium base has come down. So that has factored in as well.
Tom MacKinnon – Scotia Capital: Okay. So you can continue to have a quarter such as this, but as long as you keep running down your premium significantly you’ll still be around the same excess capital levels? Is that–
Shelly Gobin: I think the goal is certainly not to have quarters like this, Tom. This is an unacceptable quarter and – but you are correct. The capital that remains within the insurance company is strong, excluding the Lincoln situation.
Colin Simpson: Tom, if you actually get to where we’re actually at today, cutting a lot of the business that’s very unprofitable for us, has historically been unprofitable for us, we’d certainly see – expect an upswing in ratio.
Tom MacKinnon – Scotia Capital: Yes. That’s presuming the combine – the underwriting profitability improves. Right?
Colin Simpson: Absolutely. But you know you have to bear in mind that we have some very profitable businesses.
Tom MacKinnon – Scotia Capital: Okay. The question maybe for Scott then with respect to – I understand that here you put Lincoln in the runoff and then you moved it into another subsidiary and eventually get the capital out of Lincoln that way? Or why don’t you try to sell the runoff book of Lincoln and then you can get the capital of Lincoln another way. Or–
Colin Simpson: Let me answer that one. The runoff program of Lincoln is in its early stages and the department has yet to review and approve the plan. Where we go from there will be determined as we move forward. So it’s too early to say at this particular point to comment on that one.
Tom MacKinnon – Scotia Capital: And is your plan to move it into – combine that into some other subsidiary that ‘s better capitalized and then – is that what your plan is with respect to Lincoln?
Colin Simpson: As we said before, the plan is confidential at this particular point in time and we’ll comment on it further as we progress.
Tom MacKinnon – Scotia Capital: And what’s the worst case scenario, the regulators take it over and you guys don’t get any access to the capital? Is that–?
Colin Simpson: As I’ve said, yes. The plan has been submitted and I think it would be better as we go forward in future quarters to be able to comment on this difficult subject.
Tom MacKinnon – Scotia Capital: Okay. Thanks very much.
Colin Simpson: No problem.
Operator: And your next question comes from Jeff Gavarskoff [ph] of Scotia Capital. Please go ahead.
Jeff Gavarskoff – Scotia Capital: Good morning. My question is on the mention of the buy backs being subject to some liquidity test. What is that liquidity test?
Shelly Gobin: That is something that is going to be developed as part of the plan of the capital committee. And at this point there are many factors that they are looking at. That’s really all that I can provide at this time.
Jeff Gavarskoff – Scotia Capital: Okay. Is the objective to have a minimum cash balance at a given entity, or–?
Shelly Gobin: The objective is to make sure that the company and all of its subsidiaries are financially strong and maintain their capital ratios at the appropriate level.
Jeff Gavarskoff – Scotia Capital: Okay. And is all the available capital coming for the bond buy backs coming from the holding companies in Bermuda?
Shelly Gobin: Where the funds will come from is currently being assessed as part of the plan of the buy back plan.
Jeff Gavarskoff – Scotia Capital: Okay. Are there any restrictions at KSSI or KIS to what excess capital can be used for in terms of the buy backs? Or does there have to be used to buy obligations at that title?
Shelly Gobin: Kingsway Financial is a holding company though it’s not regulated by an insurance regulator. Is that what you’re asking about?
Jeff Gavarskoff – Scotia Capital: I’m just wondering if there’s any restrictions in any of the indentures that limit transferring capital to another entity.
Shelly Gobin: No, not that I’m – no. But I can take that question offline with you, Jeff.
Jeff Gavarskoff – Scotia Capital: Okay. Thank you very much.
Operator: (Operator instructions) You have a follow-up question from Michael Goldberg of Desjardins Securities. Please go ahead.
Michael Goldberg – Desjardins Securities: Thank you. Can you tell me what the size of your tax pool is in the US and how much of it is in Lincoln?
Shelly Gobin: The actual valuation allowance – the operating losses are in excess of $400 million. I don’t have the number at the top of my head, Michael. It would basically – the numbers are disclosed within the annual report. I can take that number offline and get back to you. But there is a substantial portion of it that does relate to Lincoln.
Michael Goldberg – Desjardins Securities: Okay. And can you also talk about any plans that you have to shift reinsurance in order to expedite realization of tax pools?
Shelly Gobin: Plans are being currently looked at, as I’ve mentioned in previous calls with respect to tax planning to demonstrate a more likely as in not situation. And definitely we could use those tax losses in the US.
Michael Goldberg – Desjardins Securities: Are there any impediments to being able to do that?
Shelly Gobin: There are certain things that have to be considered and looked at, particularly with respect to capital levels, et cetera. So this is part of the overall capital plan of the company to look at.
Michael Goldberg – Desjardins Securities: Thank you.
Operator: Mr. Simpson, there are no further questions at this time. Please continue.
Colin Simpson: Okay. Well, thank you very much everybody, for joining today. We’re very much focused as you probably heard in making sure that our transformation program is a success. We are working very diligently at executing on plans and within our guided targets. Thank you very much for your continued support and we look forward to talking to you in the next quarter.
Operator: Ladies and gentlemen, this concludes the conference call for today. Thank you for participating. You may now disconnect your lines.